Operator: Good day. And welcome to the Cavco Industries Second Quarter Fiscal Year 2024 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today’s conference is being recorded. I would now like to hand the conference over to your speaker today Mark Fusler, Corporate Controller and Investor Relations. Please go ahead.
Mark Fusler: Good day. And thank you for joining us for Cavco’s -- Cavco Industries second quarter fiscal year 2024 earnings conference call. During the call, you will be hearing from Bill Boor, President and Chief Executive Officer; Allison Aden, Executive Vice President and Chief Financial Officer; and Paul Bigbee, Chief Accounting Officer. Before we begin, we would like to remind you that comments made during this conference call by management may contain forward-looking statements, including statements of expectations or assumptions about Cavco’s financial and operational performance, revenues, earnings per share, cash flow or use, cost savings, operational efficiencies, current or future volatility in the credit markets or future market conditions. All forward-looking statements involve risks and uncertainties, which could affect Cavco’s actual results and could cause its actual results to differ materially from those expressed in any forward-looking statements made by or on behalf of Cavco. I encourage you to review Cavco’s filings with the Securities and Exchange Commission including without limitation the company’s most recent Forms 10-K and 10-Q, which identify specific factors that may cause actual results or events to differ materially from those described in the forward-looking statements. This conference call also contains time-sensitive information that is accurate only as of the date of this live broadcast, Friday, November 3, 2023. Cavco undertakes no obligation to revise or update any forward-looking statements, whether written or oral to reflect events or circumstances after the date of this conference call, except as required by law. Now I’d like to turn the call over to Bill Boor, President and Chief Executive Officer. Bill?
Bill Boor: Welcome and thank you for joining us today to review our second quarter results. I thought, I’d jump right in with some perspective on what we are seeing in the market. As we previously reported, the dealer inventories that created a big drag on wholesale orders through the first half of the year are now generally under control and our company-owned stores and broadly throughout our independent dealer network, homebuyer interest as reflected in online leads and store traffic is healthy. However, as everyone knows the macroeconomic environment is not providing any relief for those prospective buyers. Having said that, we continue to see quarter-to-quarter order improvement, that trend is largely coming from street dealers with community still lagging as expected and discussed last quarter. Looking forward, as those community operators work through their inventories, that would be another positive for wholesale manufactured housing orders. Against that backdrop, we continue to operate at a reduced level. Production was down from last quarter as certain plants dealt with the lack of orders and continued to slow production. In line with production capacity utilization was down slightly, but still in the range of 60%, with the already mentioned order improvement, we hit a balanced point at the current overall production rate. As a result, our backlogs were consistent with last quarter. We ended the period at $170 million, which equates to five weeks to seven weeks of production. Clearly, we are anxious and prepared to move plants back to full schedules, as soon as the market supports. In the meantime, our plants have done an outstanding job in maintaining healthy profitability and cash flow through the market challenges. In the second quarter, our housing gross margin was 23.2%, down 1.6% from last quarter and 3.6% from a year ago, when we were running full schedules and 80% utilization. Allison will go into the gross margin shifts, but the point here is that reducing shipments about 17% year-over-year to match lower demand and still maintaining margin to that extent only happens through discipline and operational excellence. Our retail business has performed exceptionally well. They adjusted quickly to the changing market conditions last year and stayed committed to their winning processes. On a same-store basis, excluding the added volume from Solitaire retail, homes sold through our company-owned stores were up slightly from the previous period. More importantly, the manufacturing and retail teams are working cohesively on product decisions and selling strategies to produce optimal results across the operations. This teamwork has demonstrated itself as we brought the Solitaire stores into the retail operation and filled out product offerings to improve inventory turns. Overall, our revenues were down sequentially from $476 million to $452 million and pretax income was $52 million, compared to $61 million last quarter. We generated strong cash flow, returned $47 million through share repurchases and added $25 million to our cash balance. We remain convinced of the dire need for our homes over time and our strong balance sheet enables us to pursue investments in organic and external opportunities, despite the near-term conditions. With that, I’d like to turn it over to Allison to discuss the financial results in more detail.
Allison Aden: Thank you, Bill. Net revenue for the second fiscal quarter of 2024 was $452 million, down $125.4 million or 21.7%, compared to $577.4 million during the prior year. Within the factory-built housing segment, net revenue was $434.1 million, down $125.5 million or 22.4% from $559.6 million in the prior year quarter. The decrease was primarily due to a decline in base business homes sold and a decrease in average revenue per home sold, partially offset by the Solitaire Homes acquisition, which contributed $35.6 million in the quarter. The decrease in average revenue per home was primarily due to more single-wides in the mix and to a lesser extent product pricing decreases. Factory utilization for Q2 of 2024 was approximately 60%, when considering all available production days, that was nearly 70% excluding scheduled downtime for market or weather, consistent with our last two quarters. Financial Services segment net revenue increased 1.1% to $18 million from $17.8 million, primarily due to more insurance policies in force and higher insurance premium rates, partially offset by fewer loan sales. Consolidated gross profit in the second fiscal quarter as a percentage of net revenue was 23.7%, down 360 basis points from the 27.3% in the same period last year. In the factory-build housing segment, the gross profit decreased 350 basis points to 23.2% in Q2 of 2024 versus 26.7% in Q2 of 2023, driven by lower average selling prices, partially offset by lower material cost per floor primarily due to lower lumber prices. Gross margin as a percentage of revenue in Financial Services decreased to 35.9% in Q2 of 2024 from 44.6% in Q2 of 2023 from multiple severe storms in Texas and in Arizona. Selling, general and administrative expenses were $61.5 million, compared to $66.9 million during the same quarter last year. The decrease in these expenses was primarily due to lower third-party support costs, and lower incentive compensation costs, partially offset by the addition of Solitaire Homes SG&A costs. Interest income for the second quarter was $5.8 million, up 214% in the prior year quarter. This increase is primarily due to higher interest rates and greater invested cash balances. Net other income this quarter was $0.7 million, compared to $0.5 million in the prior year quarter. Pretax profit was down 44.3% this quarter at $51.7 million from $92.8 million for the prior year period. Net income to Cavco stockholders was $41.5 million, compared to net income of $74.1 million in the same quarter of the prior year and diluted earnings per share this quarter was $4.76 per share versus $8.25 per share in last year’s second quarter. Now I will turn it over to Paul to discuss the balance sheet.
Paul Bigbee: Thanks, Allison. I will cover the balance sheet changes from September 30, 2023, compared to April 1, 2023. The cash balance was $377.3 million, up $105.9 million from $271.4 million at the end of the prior fiscal year. The increase is primarily due to a few factors; first, net income adjusted for non-cash items such as depreciation and common -- and stock compensation expense; and secondly, working capital changes related to inventory decreases of $19.7 million from lower raw materials at our manufacturing facilities and less finished goods at our retail locations, decrease in prepaid and other assets of $17.8 million, increase in accounts payable and accrued liabilities of $9.9 million, and decreases in consumer and commercial loans. These cash inflows were partially offset by common stock repurchases of $47.2 million. Restricted cash increased from cash collected on serviced loans in our Financial Services segment in excess of what was distributed. Consumer and commercial loans decreased from loan sales and the pay down of associated loans and fewer new loan originations. Prepaid and other assets decreased from lower prepaid income taxes and a reduction in delinquent Ginnie Mae loans, as well as the normal amortization of prepaid expenses. Property, plant, and equipment net is down from the sale of unutilized equipment acquired with the Solitaire Homes acquisition we completed last January. Accrued expenses and other current liabilities were up slightly from higher insurance losses in warranty reserves, partially offset by lower customer deposits. Lastly, stockholders’ equity exceeded $1 billion, up $43 million from $976.3 million as of April 1st, 2023. With that, I will pass it back to Bill.
Bill Boor: Our results this quarter highlight the ability of our organization to manage costs and generate cash even when conditions are challenging. Everyone at Cavco is ready for the inevitable return of demand, so we can help more families get the homes they need. Abigail, can we please open the line for questions?
Operator: Thank you. [Operator Instructions] Our first question comes from Daniel Moore with CJS Securities. Your line is open.
Daniel Moore: Thank you. Good morning, Bill, Allison, and Paul. I appreciate the time and taking the questions. Maybe I will start with just the order trends, Bill. Obviously it ticked a bit higher, which is nice to see. That said, we are entering the typically slower period seasonally. Just maybe talk about your expectations for orders and shipments in fiscal Q3 relative to Q2 and when you expect to be in a position to start to increase production rates?
Bill Boor: Yeah. Thanks, Dan. Yeah. I mean, I think, you are absolutely right. We are now entering the period we hit about November, December, and typically, if you could isolate seasonal patterns that would mean a slowdown in shipments. Some years, we don’t really see that because it gets dwarfed by the macroeconomic factors that are probably a bigger impact. But certainly, that’s not a -- it’s something we have to really be keeping an eye on and we are not at this point speculating on how that’s going to develop. We are encouraged by the -- by a few things. One is, we have reported a few quarters where we have intended to even exaggerated view of this, but a few quarters where orders have increased quarter-over-quarter and this quarter continued that. So that’s a real positive. And then the other thing that, I guess, I’d point to that, sure, it was lost on you and others is that, we have been able to kind of stabilize the backlog. So we feel like we are in balance right now going into it and more personally focused on macroeconomic drivers than the seasonality. But if we can come through these winter months in good shape, then I think it will be a real positive sign.
Daniel Moore: Maybe ask another way, so far in the quarter, production rates held pretty steady with what we saw in fiscal Q2?
Bill Boor: I think generally they have, we have kind of hit a balance point here, which is what we are trying to convey to people and we would like it to be a balance point at a higher production level for sure, but it’s good to feel like orders are supporting, at least the current production levels. So I’d say that’s continued.
Daniel Moore: Okay. Excellent. B Yeah.
Daniel Moore: And maybe just in terms of the gross margin, the -- if you could dive into it a little bit more to rank order, sort of the impacts, obviously, on the Financial Services notwithstanding, focusing on the residential housing or focusing on just the housing segment, between input costs mix, fixed cost absorption, what were the kind of the key elements that may be pushed to lower sequentially and are you seeing any pricing or competitive pressures or is it more a function of those things that I have just mentioned?
Allison Aden: I think maybe a way to think about margins this quarter to Q1 is really margins in this quarter were kind of the store is really more around cost and not really around price. We saw price hold fairly consistent, but we have seen inflationary pressures that’s driving up price per OSB, which as you know, is one of our larger inputs for materials. So that’s caused -- that slight elevation is caused -- is finding its ripple effect through the margin and obviously something that we will stay close to. We continue to be very efficient in our cost structures and our plans as we adjust to production levels and we can always -- we can certainly see consistent leverage of fixed costs at the plant level and then also at the SG&A level.
Daniel Moore: Got it. And so would -- given that and where we have seen OSB pricing, likely this kind of piece hang around in those levels, the gross margin likely to, right, remain in those levels for maybe one more quarter and would you expect to start to see some increase beyond that?
Allison Aden: I think, we don’t really project on gross margins, but we -- the fact is that we stay very close to pricing, which has been really consistent and rational. And then, of course, the input cost that the majority of our materials are lumber and OSB. So as those contracts and that level of -- and the cost pricing increases or decreases, those fall through our margin in about a 60-day trend. So that’s -- that information that can be accessed. And then our overhead support continues to be leveraged. So all-in-all, I think, as we stay close to the story that’s evolving on the OSB, we should be able to factor that into where we currently are at the Q2 level for Q3.
Daniel Moore: Very helpful. One more. I will jump out. Are you seeing more of a mix shift to lower price point entry-level homes. Is that trend continued and just maybe talk about your expectations for ASPs as we look forward over the next couple of quarters?
Allison Aden: So we are seeing the trend go toward more single. But as we have kind of said in the past, we think about margin -- gross margin associated with the singles and multi. More of a function of time or time spent of productivity within the plants and not so much a distinguishing factor between multi and single at the gross margin level. Clearly, there is a price point differential at the revenue level.
Bill Boor: Hey, Dan, just to jump in. There are definitely, I mean, as you know, following the industry for a long time for many, I think, years, we were seeing a move toward multi section in the mix, and for several quarters, now we have reported that that’s reversed, the quarter-to-quarter change wasn’t that significant, but it was a little bit more to singles again. And I think that’s -- our view is that that’s just a really strong indication of the affordability challenges people are facing out there and folks who have still been coming out to shop for homes, we reported consistently the traffic is healthy. So they are out there. They are trying to figure out how to solve their home need. Many of them, I think, are coming to the realization that they are going to have to accept less than they might have been able to purchase in years past. So I think that’s really what we are seeing through that continuing trend toward single. Over the last year, it’s been pretty dramatic. Over the last quarter, it was pretty mild as far as the shift.
Daniel Moore: Perfect. Okay. I will jump back with any follow-ups. Thank you.
Bill Boor: Thanks.
Operator: One moment for our next question next question. Our next question comes from Greg Palm with Craig-Hallum. Your line is open.
Greg Palm: Hey, everyone. Thanks for taking the questions. I wanted to follow up a little bit on kind of the community REIT channel and figure out whether your visibility has improved, changed at all, relative to a few months ago?
Bill Boor: Yeah. This is a good topic to hit on. I commented very briefly on it that, they really haven’t come back at this point. The street dealers are carrying the load right now. A lot of that we have talked in the past is really driven mostly by communities that have spaces to fill and they have got inventory, but they are having trouble getting it placed as fast as they would like. All my discussions with operators -- community operators is that, it’s not a question about whether there’s a resident demand, it’s just been a function of them having inventory on hand, kind of similar to the previous problem at street dealerships and how fast they can place that product. So I think we even commented last quarter that we expected it to be not trying to pinpoint too many estimates when we don’t have perfect visibility. But last quarter we said, that was probably last through the calendar year and I think that’s still true. I don’t know that we will be completely through it in the current quarter or whether it will leak into next year a little bit, but once that does clear, just as when we saw the street dealer inventories get balanced, that’s a positive for our orders. Greg, I will open up another topic, because you and I have talked about this over time. I think everything I am saying is, the way to think about it is, it’s very true for existing communities. Just even following some of the public statements for some of the REIT operators, now we are starting to hear people say, hey, if the cost of capital keeps going up, new development is something they are going to hold off on. So not really thrilled to hear that, but it stands to reason that as interest rates continue going up, those operators are balancing, whether to invest in new developments or to just kind of hold the capital or pay down debt. We haven’t heard that consistently. It hasn’t been a loud message. But it’s something I think for us to keep our eye on. Not really an impact on the inventory discussion we have had. But just kind of a down the road thing to keep an eye on.
Greg Palm: Yeah. That makes sense, won’t be a huge surprise. In terms of order rates coming through when they are ready, would you expect them at kind of similar levels as retail, has placed those orders post destocking or will there be any change in how the community REIT channel places orders versus what you have seen in retail over the last two quarters?
Bill Boor: I don’t think so. I think once they get cleared of the inventory that they are trying to work through, we talked with the street dealers on the concept of one-to-one, right? They sell a house, they need a house and I think we will see the same thing. And communities are a meaningful portion of the overall, we kind of in this discussion, I am grouping developers communities kind of as one package, but it’s a meaningful part of the overall demand. So we typically talk about that being 30%, 33% of the market and they haven’t been carrying the 33% or so of the current orders. So we will see it pick up once that continues to clear. I am not sure…
Greg Palm: Yeah.
Bill Boor: Did that address your question?
Greg Palm: Yeah. Yeah. Totally did. And I guess just lastly…
Bill Boor: Okay. Thanks.
Greg Palm: … I know you have kind of characterized this as kind of a challenging time and…
Bill Boor: Yeah.
Greg Palm: … Cavco as a company is fortunate, good balance sheet and all, and there’s a lot of operators out there that, probably, don’t have any backlog, they don’t have a good balance sheet. And so I am curious, does this change your appetite for M&A? Have you seen additional opportunities hit the pipeline? What’s just kind of your visibility level there?
Bill Boor: Yeah. I wouldn’t say it’s been a big impact right now as far as people being distressed and therefore having to look for alternatives on the manufacturing side as far as M&A work. We are always interested and always in kind of some stated discussion to stay connected with those folks. So I wouldn’t characterize that I have seen a lot of distress type situations. And I think really we have to look at it -- you are right, if you lose your backlog that could be an issue, obviously. But pricing is held up, so I think margins through the industry are still more healthy than would be the case in a time when manufacturers are really on the verge of failing.
Greg Palm: Yeah. That’s a good point. Okay. I will leave it there. Best of luck.
Bill Boor: Thanks, Greg.
Allison Aden: Thanks.
Operator: One moment for our next question. Our next question comes from Jay McCanless with Wedbush. Your line is open.
Jay McCanless: Hey. Good afternoon, everyone. So, actually, Bill, I was going to ask you the pricing question, too. So it sounds like things were holding up. You haven’t had to be really aggressive on cutting price?
Bill Boor: Yeah. We haven’t seen. I mean, I would say, it’s been consistent over the last couple quarters where there are markets where you see a little bit of price competition, but it’s been a little bit and you see other market -- markets, where it really hasn’t been a factor at all and you can see in, our average selling price that we reported has a lot in it with retail and mix and everything else. But you can see that prices just haven’t materially dropped. So we always say it’s a local business. So when we talk to all of our plants and kind of check in with how things are going, we hear slightly different stories from plant-to-plant and region-to-region. But where it’s been noticeable that there’s a little price competition, it hasn’t been very dramatic.
Jay McCanless: That’s good to hear. Could you talk about where chattel rates are now and what type of availability you think is out there in the market on the chattel side?
Mark Fusler: Yes. On the rate side right now, they have held pretty steady from last quarter, so they are still about 9% to 9.5%.
Bill Boor: Yeah. Availability is kind of consistent in that sense. So I think if you are -- what Mark’s quoting is a pretty good credit score, good loan-to-value, we try to report that consistently in that sense. But I wouldn’t say that, if you have got the credit, I don’t think the availability has gone down.
Jay McCanless: My last question. So we have heard from one of your competitors that, there may be some people walking away from floor plan financing for street dealers. Can you talk about your appetite to maybe pick up some of that business, especially with having the sizable cash balance you do, even notwithstanding the buyback, still have a pretty healthy cash balance? Is that something where Cavco…
Bill Boor: Yeah.
Jay McCanless: … might want to go a little deeper?
Bill Boor: Yeah. I think we just kind of react to the situation for the most part. As you know, we have got a reasonably sizable portfolio of floor plan loans with our independent dealers. And I think as we have stayed very close -- by virtue of having that, you stay very close to the credit situation out there. So, yeah, we absolutely would provide floor plan financing in the right situations. We wouldn’t shy away from it in this market.
Jay McCanless: Okay Great. That’s all I had. Thank you.
Bill Boor: Great. Thanks, Jay.
Operator: One moment for our next question. [Operator Instructions] Our next question comes from Michael Chapman with Aviance Capital Partners. Your line is open.
Michael Chapman: Thanks. A quick question on the revenue per module, been kind of flat like you mentioned for the last 25 [ph] quarters. If the developers are rolling off with -- I am assuming they would be at more of kind of a wholesale margin. Do you think that kind of gets picked up by more wholesale or could that actually have some upward bias on your rev per module?
Bill Boor: You are saying, if -- when we are working with developers, are we selling at wholesale price or retail?
Michael Chapman: Yeah. I mean, if...
Bill Boor: Is that kind of a question?
Michael Chapman: Yeah. If developers are moving out, I am assuming that they kind of get wholesale pricing. Is there any…
Bill Boor: Yeah.
Michael Chapman: … opportunity to get price increase just because you are going to have more retail?
Bill Boor: I am not sure I am following unfortunately. I think you are right that there would be kind of a distribution partner in the sense they would be getting wholesale price. So the extent that picks up, we will see a little bit of a shift within our consolidated financials to more wholesale pricing. And as we have tried to explain through time about our average selling price, our average selling price is affected by the proportion of wholesale pricing to retail pricing. So in that case, as communities and developers come up, I think, I am getting to your question, you would see wholesale take a bigger portion and you might see our reported average selling price drop a little bit, right?
Michael Chapman: Okay.
Bill Boor: Is that -- am I getting that, Michael?
Michael Chapman: Yeah. No. You did. You got to it. I appreciate that. And then just kind of looking at...
Bill Boor: Yeah. Yeah. And we wouldn’t consider that to be a negative because that would be incremental volume over where we are at now. So, we would be thrilled with that average selling price as an indicator, but we are looking at the bottomline.
Michael Chapman: No. Fair enough. And then just kind of on inventory levels, over the last couple of years, inventory turns have gone up, inventory days have come down, obviously, through the pandemic and everything it’s changed. Are those going to come back or what’s the time period that you would think that those would get back to levels that they were in, say, the 2019 area?
Bill Boor: Yeah. It’s interesting because as we have gotten through the inventory problem and this is kind of a general industry statement, but certainly a statement of our company-owned stores as well, turns are getting back into good ranges anyway. They are kind of stocking at a level to -- and you think about the incentives. Let’s take an independent dealer, you think about their incentives, floor plan financing has gone up in cost, so they are going to carry less inventory and make sure their turns are pretty solid. So when we look at turns even within our own system. They are pretty good right now. They are not bad at all, because inventory is being managed down.
Michael Chapman: Okay. And then just kind of following on the financing side, I mean, homebuilders have been kind of keeping volumes up, stick to homebuilders, keeping volumes up by basically buying down yield. So basically using their balance sheet to increase the volume. You guys -- all the big guys have really good balance sheets on that. How do you go about doing that or is that just something that you wouldn’t do in the chattel market because of the credit profile that you face?
Bill Boor: Yeah. I mean, it’s something that, I’d say, as a general rule has not been a main driver of how people have gone to market. Traditionally in our industry, the manufacturer sales teams working with dealers, for example, have been selling on price and product. And so there hasn’t been a lot of subsidizing consumer rates. But it’s always a tool that you kind of keep an eye on and it’s something that could become a factor. That’s why I think it’s good for us to -- so I am happy that we are kind of in the position we are with Country Place, because we can always keep an eye on that and if the opportunity came to drive more volume by providing this kind of programs, we have got the capability to do it. It hasn’t happened a lot yet, but in the end, you are trying to manage for integrated value and so it’s something that we do look at and opportunistically we would be willing to do it.
Michael Chapman: Okay. I mean could you have...
Bill Boor: The discipline on that -- just to explain the discipline on that, just to finish that thought? We have, what’s commonly called an asset-light model in our lending business, where we don’t want to hold loans and so it creates a natural discipline that we have to have investors buying those loans, and they are going to want to buy loans at market. And so if we buy it down, it’s a good discipline because the economic reality of buying down that rate is staring us right in the face, right? So I think there’s a lot of discipline in that.
Michael Chapman: Okay. And then just kind of my last one, I mean, you guys in this quarter generated strong free cash flow, by any stretch of the imagination, in good times, you will obviously generate more.
Bill Boor: Yeah.
Michael Chapman: Do you have constraints on acquisitions or the volume of acquisitions you can make just because of the concentration of the industry? Because if you are going to do, give or take, $200 million in free cash flow and given at what you guys have been paying on price of sales, you guys could make…
Bill Boor: Yeah.
Michael Chapman: … $200 million, $300 million, $400 million in revenue purchases a year. But that’s a lot of revenue for what’s remaining outside the big three or four guys. So, I mean, I look at it and the cash flow that you guys have, seems like you have almost too much to just do nothing with it. And so I am kind of wondering what the thought process is, given the volume of cash flow and your ability to apply that in the market in acquisitions? Thanks.
Bill Boor: Yeah. Yeah. I think, one answer to your question is we don’t feel constrained on acquisitions. We kind of maintain our balance sheet, so we can act strategically and acquisitions you can look through our history, have been an important part of that. So certainly don’t feel constrained with either the cash balance or the cash flow that we have been generating as you identify. So we want to make sure we get those deals at the right prices, I think, is the limiting factor for us. We are always kind of looking to make sure it’s a fair deal for both sides. So we have obviously used repurchases as a balancing tool on our balance sheet. We have been pretty clear with folks that we want to maintain a responsible balance sheet and that’s where the repurchases come out back into play. They are not really speculating on price. They are more trying to keep our balance sheet appropriate for keeping the dry powder to do the deals you are talking about. So anyway, I think, the bottomline to your question is, we do not feel constrained and when we see good opportunities and acquisitions, we feel free to do them given our strong balance sheet.
Michael Chapman: And there’s no regulatory constraints to increasing your market share?
Bill Boor: We haven’t gotten to that point yet and I think there’s a couple of things there. One is, as I said in my earlier remarks, it’s a local business and so that analysis really has to be done at a local business. And secondly, when you look at deals in this industry, I think, we are part of the overall homebuilding industry, not just the manufactured housing industry. So we haven’t really felt that we are bumping up against any kind of regulatory constraint or in concentration.
Michael Chapman: Okay. Great. Thanks. That’s all my questions. Appreciate it guys.
Bill Boor: Thank you
Operator: Thank you. That concludes the question-and-answer session. At this time, I would like to turn it back to Bill Boor, President and CEO for closing remarks.
Bill Boor: Thank you. Obviously, the focus of the call has been on financial results and understanding market dynamics at the moment. Internally, the various parts of our company are really working better than ever. For example, our marketing team continues to leverage the digital investments we have made and that’s benefiting our dealers and home shoppers and they are working seamlessly with our expanding national sales team to grow the business. We have got a lot going on in learning and development, where I feel like we have created really world-class programs aimed at improving leadership across the enterprise and providing clear pathways for our people. And finally, the business leadership across manufacturing, retail and Financial Services are doing a great job teaming up to ensure we have the right products and services for our distribution partners. As I have said before, our operators in all business segments are doing an outstanding job managing the challenging market conditions and that’s reflected in the strong cash flows despite the environment. But the real focus throughout the company is on getting ready to run, when economic conditions support, turning the tide on the huge deficit of attainable housing in our country and getting more families into quality Cavco homes, that’s our real focus and these conditions really haven’t taken our eye off that ball at all. So thank you as always for your interest in Cavco. We look forward to keeping you updated on our progress.
Operator: Thank you for your participation in today’s conference. This does conclude the program. You may now disconnect.